Operator: Good day, everyone. Welcome to the Hospitality Properties Trusts Fourth Quarter 2007 Financial Results Conference Call. Today's call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to the Manager of Investor Relations, Mr. Tim Bonang. Please go ahead, sir.
Timothy A. Bonang - Manager of Investor Relations: Thank you and good afternoon everyone. Excuse me, joining me on today's call are; John Murray, President; and Mark Kleifges; Chief Financial Officer. John and Mark will make a short presentation, which will be followed by question-and-answer session. Before we begin today's call, I would like read our Safe Harbor Statement. Today's Conference Call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and Federal Securities Laws. These forward-looking statements are based on HPT's present believes and expectations as of today, February 13th, 2008. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's conference call other then through filings with the Securities and Exchange Commission regarding this reporting period. In addition, this call may contain non-GAAP numbers including funds from operations or FFO. A reconciliation of FFO to net income is available in our supplemental package found in the Investor Relations section of the company's website. Actual results may differ materially from those projected in these forward-looking statements. Additional information concerning factors that could cause those differences is contained in our filings with the Securities and Exchange Commission and in our Q4 supplemental operating and financial data found on our website at www.hptreit.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. And with that, I would like to turn the call over to John Murray.
John G. Murray - President and Chief Executive Officer: Thank you, Tim. Good afternoon, and welcome to our fourth quarter 2007 earnings call. Earlier today HPT reported FFO per share for the quarter of $1.15, which represents quarter-over-quarter FFO per share growth of approximately 15%. Fourth quarter RevPAR growth averaged 6.2% across our 292 hotels. RevPAR growth at HPT's hotels exceeded industry average growth, and was once again driven largely by REIT growth, which accounted for 84% of the RevPAR increase. Occupancy increased modestly to 68.9%. RevPAR growth this quarter benefited from strong Hyatt Place performance, double-digit growth of SpringHill Suites, strong performance from Radisson, Staybridge Suites and Courtyard hotels. Balancing these results was the performance that our Candlewood and Residence Inn extended stay hotels, which had reduced occupancies and the impact of renovation projects at several of our Crown Plaza hotels. Our hotels continue to generate strong performance versus their competitive sets during the quarter with an average RevPAR index of over 117. We believe this reflects the combination of strong locations, respective brands, attractive physical assets, and high levels of service. All these attributes should service well going forward, regardless of the economic climate. RevPAR increased across all of our portfolios except the IHG4 portfolio where we had six Crown Plaza hotels under renovation during the quarter. RevPAR was up for all brands except at our two Park Plaza hotels. Earlier this month we sold one of those Park Plaza hotels for approximately $8 million. The RevPAR increased across several brands including Candlewood Suites and Residence Inn was weaker than we would have liked. This appears to be due to lower levels of extended to stay business travel. Although three of the hotels in the Hyatt Place portfolio were under renovation during some or all of the fourth quarter. RevPAR for the portfolio was up 33% versus last year. For the 18 hotels, which completed renovations prior to September 30th, 2007, fourth quarter RevPAR was up 34%, and NOI was up 25% versus comparable pre-renovation periods. RevPAR performance this quarter improved in all regions, our hotels in Canada, and the East North Central, New England, and Pacific regions showed the strongest gains this quarter, while the two West Central regions had more restrained growth. Profit margins for our hotels improved 133 basis points this quarter versus last year. Cash available to pay HPTs hotel minimum rents, and returns increased by 9.7% this quarter versus last year despite FF&E reserves ramping up at two of our IHG portfolios, and renovations that are high in Crown Plaza Hotels. HPTs annual minimum return and rent coverage ratios have generally remained strong with only the higher portfolio below one-times coverage. During the fourth quarter three more Hyatt Place conversions were completed. Of the remaining three former AmeriSuites in this portfolio, our current expectation is that one in Orlando will be converted to Hyatt Place during the first half of 2008. We are currently marketing for sale the remaining two properties, one in Florida, and one in North Carolina, which we do not believe will generate sufficient returns on invested capital if converted. That marketing process began in early January, so it's too early to predict if acceptable pricing will be achieved, or what the timing will ultimately be to closing. The 2008 budget process for our hotel was wrapped up in early January. Since that time, we have become somewhat less optimistic about the U.S. economy, but we are hopeful recent interest rate reductions by the Fed and other parts of the government economic stimulus efforts will enable us to avoid a recession or at least reduce its severity in duration. It is possible that our managers may fall short of their RevPAR growth targets. During uncertain economic period such as this, we believe it is important to remind investors of the safety and stability of HPTs minimum returns and rents. Every year, we reinvest significance sums in our hotels both through the FF&E reserves and by additional HPT investment for which our minimum rents and returns are generally increased. In 2007, HPT funded improvements totaling over $64 million in addition to the FF&E reserve escrows. In the past 12 to 18 months major investments were made in Carlson and Hyatt portfolios, and in our Crown Plaza efforts. Now withstanding deteriorating economic conditions, we are expecting strong growth from these newly renovated assets. The recent disruption in capital markets has impacted large and real estate transaction activity. While the costs and the availability of capital has been affected, and mortgage underwriting standards have become more conservative for potential hotel investors. Through year-end actual hotel performance observed by existing owners and possible sellers remains healthy. Accordingly, we expect a pause in the pace of hotel transaction activity for a couple of quarters as both buyers, and sellers take a wait and see approach for the current uncertainty. Longer-term, we expect acquisition cap rates to rise, acceptable leverage levels to be reduced, and the number of active hotel investors to decline as a result of more prudent lending standards. We believe these more challenging times in the capital markets, and reduced transaction activity may create greater opportunities for HPT in 2008 versus the last two years, because of our financial flexibility, and the ability to offer sellers certainty of closure. 2007 has been a very challenging year for the TravelCenters business. This year, we've seen a collapse in residential construction, a decrease in automobile production, and general decline in economic activity. The impact of this on the trucking industry, TA's primary customer has been dramatic with the ATA trucking tonnage index down in 18 of the last 24 months. As a result of these slowing industry conditions rolling 12 month property level rent coverage through the third quarter was down for each of our TravelCenters portfolios. We believe TA with its strong brands, well located sites, and superior service offering is positioned to outperform its competition in what we expect to be a difficult to economic environment in 2008. We also believe that TA is sufficiently well capitalized to weather a downturn. This year we have funded $26.4 million of capital projects in our TravelCenters. Most of these funds have been invested in bathroom and shower upgrades, and the additional of truck service bays and quick service restaurants. We remain excited about the TravelCenters business and the growth opportunities, and relative returns it provides. With its greatest scale, we expect TA to continue to identify opportunities to seek better volume purchasing contracts, and otherwise increase efficiencies, and margins. At the same time, TA size has created an interest among owners of TravelCenters around the country and becoming part of the TA system. We are optimistic therefore that this may lead to future growth opportunities for HPT. I'll now turn the presentation over to Mark Kleifges, our CFO.
Mark L. Kleifges - Treasurer and Chief Financial Officer: Thanks, John. During the fourth quarter RevPAR our three leased hotel portfolios increased 4.9%, profit margins increased by 150 basis points, and cash flow available to pay rent increased 9.2%. Performance this quarter for our leased hotels was led by our 53 hotel Courtyard portfolio with 6.9 % RevPAR increase and 13.7% increase in cash flow available to pay rent. RevPAR and operating profit margins at our leased hotels for the quarter were constraint by the performance of... at our Residence Inns, where RevPAR was up only 4.1% due to the higher levels of transient versus extended state business. For 2007, rent coverage ratios for our leased hotel portfolios range from 1.22 times to 1.63 times. Performance was slightly stronger during the fourth quarter for our seven managed hotel portfolios, with a RevPAR increase of 7%, a profit margin increase of 128 basis points, and 10% increase in cash flow available to pay our minimum returns. As John mentioned earlier, the Hyatt Place re-branding process is nearing completion. And as you would expect growth in the portfolios cash flow available to pay our minimum return was significant during the fourth quarter at approximately 64%. Coverage increased to 0.56 times for the quarter. While we expect coverage for this portfolio to be greater than one-times in 2008, we do not expect to earn income above our minimum return as Hyatt will retain any excess cash flow until they recover shortfalls funded during the renovation process. The strongest performance this quarter for our managed hotels was from our 31 hotels Staybridge Suites portfolio and 14 hotels InterContinental portfolio. Our Staybridge portfolio had 9.3% increase in RevPAR, 110 basis point improvement in profit margins, and 8.4% increase in cash flow available to pay on minimum return. Performance of our InterContinental portfolio was equally strong with 7.4% RevPAR increase, 180 basis point improvement in profit margins, and 9.7% increase in cash flow available to pay on minimum return. This portfolios performance was led by our InterContinental Hotels in Houston, Baltimore, and Toronto. For 2007, return coverage ratios for our managed portfolios excluding the Hyatt portfolio ranged from 1.09 times to 1.63 times. As John mentioned, 2007 has been a difficult year for the trucking industry, and our TravelCenters properties. During the first nine months of 2007, our TA portfolio experienced 1.5% decline in fuel volumes, and 5.6% decline fuel gross margin, which were only partially offset by increases of 1.7% and 2.1% in non-fuel sales and gross margin restively. The lower total gross margin combined with higher site level operating expenses resulted in 7.9% decrease in cash flow available to pay our rent during the period. The performance of our petro portfolio was weaker with declines in both fuel and non-fuel sales and related gross margin. For the first nine months of 2007, fuel volumes declined 5.3%, and fuel gross margin was down 15.9%. Non-fuel sales and gross margin declined 0.8% and 1.6% respectively. As a result, cash flow available to pay our rent declined 23.6% between years. Despite the declines in cash flow, coverage remains positive at 1.39 times for our TA portfolio, and 1.14 times for our petro portfolio for the 12 months ended September 30, 2007. Turning to HPT's consolidated operating results. EBITDA in the fourth quarter of 2007 was $154.3 million, representing 58% increase over 2006 [ph] fourth quarter EBITDA of $97.8 million. For the year, EBITDA was $597.6 million, 51% increase from 2006. Funds from operations for the fourth quarter were $108.2 million, compared to $76 [ph] million for the fourth quarter of 2006. On a per share basis, FFO increased 15% from $1 per share to $1.15 per share in the 2007 fourth quarter. The weighted average number of common shares outstanding totaled $93.9 million in the 2007 fourth quarter, compared to $75.6 million in the 2006 quarter. Our FFO payout ratio was approximately 67% for the fourth quarter. Minimum returns and rents were $144.6 million in the 2007 fourth quarter, 72% increase over the 2006 fourth quarter. This increase resulted primarily from our two TravelCenters leases, which commenced in January and May of 2007, an increased annual minimum returns and rents due to our funding of capital improvements at our properties in 2006 and 2007. These increases were partially offset by the elimination after July of rent from the Homestead portfolio, which we sold in the third quarter. FFO for the fourth quarter also includes $5 million or $0.05 per share of additional returns and percentage rent. This compares to approximately $3.7 million or $0.05 per share in the 2006 fourth quarter. For the year, additional returns and percentage rent totaled $30.5 million, 19% increase over 2006. Because of the slowing economy and the ramping of FF&E reserves at several of our portfolios in 2008, we would expect significantly less growth in additional returns and percentage rent in 2008. Turning to our balance sheet liquidity, cash and cash equivalents totaled $51.5 million at December 31, 2007, which included $28.1 million of cash escrow for future improvements to our hotels. During 2007, we made approximately $123 million of capital improvements to our hotels and $26 million of improvements to our TravelCenters. In 2008, we expect to make improvements to our properties of between $150 million and $175 million. As of December 31, 2007, our debt to total capital on a book basis was approximately 48%, and on a market basis, debt to total capital was approximately 43%. Our EBITDA to total fixed charges coverage ratio was 3.4 times in the 2007 fourth quarter. In summary, the fourth quarter of 2007 was highlighted by continued RevPAR and FFO per share increases, and strong coverage ratios in our portfolio. We believe that our operating agreement structure and balance sheets strength will serve us well, should the U.S. economy experience a further downturn in 2008. That concludes our prepared remarks. Operator, we are ready to open it up for questions. Question And Answer
Operator: Thank you. The question-and-answer session will be conducted electronically. [Operator Instructions]. And we will take our first question from William Truelove with UBS Financial.
William Truelove - UBS Financial: Hey guys. Questions about the TravelCenters, America number two. In the third... in the first quarter of 07 had only a coverage ratio of 1.04, given the trends that you continue to see in that business. Is it likely that that's going to go under one-times you think in the first quarter of this year? And if that is the case, have you had any overtures from the management teams over their at TA to talk about rent going forward? Thanks.
John G. Murray - President and Chief Executive Officer: We don't give guidance for our own numbers. I don't want to predict on this call where we think TA's numbers are going. We have numbers up to the third quarter, which is what we included in our statistics today. But, it's clearly the economy is going through a weak phase, and we are not really seeing any statistics from the ATA or other statisticians on the transportation business that would lead us to believe that the sector is anything, but weak right now. So, we don't... we are not expecting a dramatic increase in coverage, we are... we think the current malice is going to continue. We've like... as we have said in the script, we believe that TA's will capitalize and the first and fourth quarters of the year are typically the weakest two quarters of the year for the TravelCenters business, and so, we are confident that even if there is a decline in coverage that TA can still pay the rent.
William Truelove - UBS Financial: But, just to clarify have you guys had already discussions about changing the rent going forward or not?
John G. Murray - President and Chief Executive Officer: No, we don't think there is any reason to have those discussions.
William Truelove - UBS Financial: Okay, great. Thanks.
Operator: And we will take next question from David Bragg with Merrill Lynch.
David Bragg - Merrill Lynch: Yes, good afternoon. Just another question on Travel, since it was...could you provide your take on, why the petro portfolio is underperforming the original TA portfolio?
John G. Murray - President and Chief Executive Officer: We believe that a lot of it has to do with a different mix of customers. Travel... TA, TravelCenters of America was... had a greater rating towards fleet relationships and petro had a mix that was more balanced between fleets and independent truckers. And we believe that when the industry is... the trucking industry has been squeezed that has impacted the independent truckers more significantly than it impacts the fleets who have longer-term contracts with shipments. So... and also not only does that cause a reduction in the amount of... or the volume the large fleets that do a tremendous amount of volume can negotiate for a more competitive rates on fuel based on that margin over an index, whereas independent truckers essentially pay a more of a rack rate. And so not only is the volume down when you have less independent truckers, but your margins are impacted as well. So, I think those are the... what I believe are the two key reasons.
David Bragg - Merrill Lynch: And could you remind me is there a... are there any key differences between the service... services that are available at those two portfolios?
John G. Murray - President and Chief Executive Officer: I think they are fairly similar. Frankly, I think that the petro sit-down restaurant, the Iron Skillet has a, actually a better reputation in the industry for sort of in terms of trucker satisfaction if you will.
David Bragg - Merrill Lynch: Okay. Also John, you mentioned your expectations for cap rates to rise. Could you frame that in terms of the movement, the degree of that movement?
John G. Murray - President and Chief Executive Officer: I can tell you that where I am hopeful it will go. It's hard, I think it's going to take a while for us to tell where it really shakes out. But, I think that the talk that we have seen in the marketplace on potential deals seems to be 50 basis points to 100 basis points higher than where it was a nine months ago. And my sense is that for buyers to be more comfortable that... we would like to see it go another 100 basis points.
David Bragg - Merrill Lynch: Okay.
John G. Murray - President and Chief Executive Officer: So, I think we are seeing a lot of transactions in the six to eight range, and I think that we'd hope that they be in seven to nine or 7.5 to 9.5 range going forward. Obviously, it depends on transaction size and markets, hotel type and things.
David Bragg - Merrill Lynch: Sure, and then finally on the TA side, given that there are limited transactions there as well, what sort of pricing movements have you seen recently there?
John G. Murray - President and Chief Executive Officer: I think mostly we've only seen our own transactions there, but I don't see any reason, I mean, I would think the cap rates would remain north of 9%. We did our transactions in the 9.5% range and I think that, we're certainly not going to be buying additional properties below that.
David Bragg - Merrill Lynch: Okay. Thank you.
Operator: [Operator Instructions]. At this time we'll go next to Smedes Rose with KBW.
Smedes Rose - Keefe Bruyette & Woods: Hi, guys. You mentioned you had about $30 million of incremental profit participation in 07, that you don't expect to grow in 08, or you would less growth in 08. Can you help, just help us think about what does one point of RevPAR a change in RevPAR due to that number, that's, for us it's been a harder part of your earning story to model and it would be helpful I think, given that there is a lot of concern about growth rates and RevPAR to kind of understand the sensitivity around that?
Mark L. Kleifges - Treasurer and Chief Financial Officer: Yes, Smedes, this is Mark. It is difficult for model. It's difficult for us to model also because 3% change in RevPAR can have a different impact on each of our seven managed portfolios depending on where you happened to be in the cash waterfall at that given time, by that I mean is the next dollar of incremental cap... it is the next dollar of incremental cash flow all go to HPT. Does it get spilt with the manager? What percentage does it get spilt at? So, I don't think it would be fair. It would just be inaccurate to give a standard answer as to what 3% change in RevPAR has. You really have to look at it portfolio-by-portfolio, and where we are in the cash waterfall, and I think those types of discussions if it's in area that you are struggling with probably best done offline where we can talk about specific portfolios and what's happening there.
Smedes Rose - Keefe Bruyette & Woods: Okay. And at 3% maybe you had said that it's a, but at 3% about you're may be seeing across the portfolios for this year?
Mark L. Kleifges - Treasurer and Chief Financial Officer: No, I think...
Smedes Rose - Keefe Bruyette & Woods: I think on your last call you had mentioned 4% to 6%. Is there any update or thoughts around that?
John G. Murray - President and Chief Executive Officer: We expect RevPAR to grow next year, and we don't expect it to grow as much as it did in 2007. But, the environments it's unclear right now, so we are not providing specific guidance.
Smedes Rose - Keefe Bruyette & Woods: Okay. And then is there any update just on the I think you have about $150 million of debt coming to you in the first quarter, and also there is a preferred that I believe is callable now or is there any decisions made on either of those?
Mark L. Kleifges - Treasurer and Chief Financial Officer: Well the decision on the150. We have 150 million of unsecured senior notes that are... were required to redeem on March 1st, so that's an easy decision. We'll be redeeming those and will likely use the revolver to do that, and we also have some perpetual preferred that became callable in December, but we have made no decision whether to call or not call that at this time.
Smedes Rose - Keefe Bruyette & Woods: Yeah. Thank you.
Operator: We'll take our next question from Michael Salinsky with RBC Capital Market.
Michael Salinsky - RBC Capital Market: Well good morning, guys, and a follow-up to Smedes questions, can you discuss where you see pricing at right now in the end secured market, as well as the preferred market?
Mark L. Kleifges - Treasurer and Chief Financial Officer: That's a difficult question, because it's the debt capital markets for all investments grade credits not just REITs have been pretty volatile and to be honest with you, we really haven't gone out, and tested the markets if you will to get quotes here recently, but clearly you've had spreads that continued to widen, and that's been partially offset by the continued decline in the 10 year treasury. I wouldn't be comfortable giving a specific quote, where I thought we could raise money today. The preferred REIT market, we really haven't seen any transactions in that space. I heard a rumor that someone's out today with a, a REIT is out today with a preferred transactions, so it will be interesting to see what type of pricing they get on that transaction, but the big financial services firms, the banks have really been dominating the preferred market, and I think they've squeezed out the REITs in some of the smaller issuers from a pricing standpoint.
Michael Salinsky - RBC Capital Market: Okay. And I think in your comments you mentioned $150 million to $175 million of improvements planned for 2008. Could you go in a little bit more detail and maybe some of the other projects you are looking at, some of the largest scale project essentially?
John G. Murray - President and Chief Executive Officer: We have 292 hotels. So, I don't think there are any very major renovations at any one property. Perhaps, we are going to be putting some money into our Kauai Marriott for some... it's due for major renovation. We're going to be working on a spa with Marriott, but I don't think that that's going to happen because of the timing I think in Hawaii probably until may be even 2009. We're doing room renovations and public space renovations in a number of our Courtyards and Residence Inns. Marriot has come out with a new brand standard on sort of a great room style lobby, so we will be putting some money towards that. We have got one more Hyatt Place in Orlando near the airport that will be converting from AmeriSuites to Hyatt Place. We are going to spend about $25 million on TravelCenters and continuing to refresh those, focused on adding truck service bays, quick service restaurants, and making sure that the bathrooms and showers are in good condition. And I think we're going to in terms of the InterContinentals, I think we have plans to spend some more money on the San Juan InterContinental. We've done some work on some guestrooms. But, most of the money that we've spent there has been on HVAC systems, redo of their restaurants, redo of the sort of pool area. So, some of the guestrooms still need to be go through a renovation.
Michael Salinsky - RBC Capital Market: Okay. So, nothing along in terms of disruptions like you have with Hyatt Place this year?
John G. Murray - President and Chief Executive Officer: No.
Michael Salinsky - RBC Capital Market: Okay.
John G. Murray - President and Chief Executive Officer: No, there will be the occasional disruption here there. But, this would all be balanced out by continued strong performance by the other hotels in their portfolios.
Michael Salinsky - RBC Capital Market: Okay. And finally, you mentioned your marketing property in North Carolina and property in Florida, two for AmeriSuites assets, I think you mentioned you sold an additional asset. And you kind of gives us timeline of what you... can you provide us a detail on what you're marketing right now and kind of a timing on those sales?
John G. Murray - President and Chief Executive Officer: Yes. There is AmeriSuites in Tampa in a business park called Sabal Park. It's a non-brand compliant 70ish room hotel that we have. Our acquisition cost there was around $3.5 million. That's the marketing has begun there, but we don't... we don't know exactly what the timing is going to be. I think the brokers this week and next week are taking perspective buyers through, and books are out. And there is a... on Atlantic Beach in the North Carolina there is an AmeriSuites that was built as a Sumner Suite converted to an AmeriSuites. It's just... our decision is that it's just too much of a seasonal location to be worth the magnitude of investment that it takes to become a Hyatt Place. So that too is going to marketing process. Our book value there is less than $7 million. So, it's not... those were the only two properties that we are marketing. It's just not big dollars in this game I think.
Michael Salinsky - RBC Capital Market: Okay, and then--
John G. Murray - President and Chief Executive Officer: We sold the one Park Plaza, which was a former Wyndham Garden Hotel in North Phoenix for about $8 million, just a couple of weeks ago.
Michael Salinsky - RBC Capital Market: Great. Thanks guys.
Operator: We'll take your next question from Troy Garner with Morgan Keegan.
Troy Garner - Morgan Keegan: Hi John, Mark. I'm covering for Nap today. Had a couple of questions. On your fourth quarter G&A, were there any adjustments, true-ups or anything that would have impacted, I think it was 9.4 million in the quarter?
Mark L. Kleifges - Treasurer and Chief Financial Officer: No, there were no real unusual... there were no unusual items in this quarter's G&A.
Troy Garner - Morgan Keegan: Is that a pretty good run rate going forward?
Mark L. Kleifges - Treasurer and Chief Financial Officer: Yes, it should be a pretty good run rate.
Troy Garner - Morgan Keegan: Okay. It looks like it was down substantially versus Q2 and Q3, is that accurate?
Mark L. Kleifges - Treasurer and Chief Financial Officer: Well let me--
John G. Murray - President and Chief Executive Officer: There might have been a modest decline because of the sale of the Homestead...
John G. Murray - President and Chief Executive Officer: But, you should have seen that also in Q3.
Mark L. Kleifges - Treasurer and Chief Financial Officer: Yes,I don't have the prior quarter's numbers in front of me. I know we did have... we had some failed acquisition costs in one quarter, this year. I think it was in the second quarter. And as John mentioned, the G&A did go down as a result of selling the Homestead portfolio in July. But, it bounces around a little bit between quarters, but the fourth quarter gives you... should give you pretty decent run rate.
Troy Garner - Morgan Keegan: Okay. That's helpful. Thank you. And just to make sure I understood on your percentage rents and additional returns in 2008. You said they're not going to grow or they are not going to grow at the same level that they grew in 07?
Mark L. Kleifges - Treasurer and Chief Financial Officer: Well, they grew about 19% clip in 07 and I think my statement was that it could be a significant little lower growth rate this year.
Troy Garner - Morgan Keegan: Okay. And then I think it was 06 or maybe 07, they are a little bit lumpy. Do you see anything, any quarterly kind of differential kind of in 08 that we would be aware off?
Mark L. Kleifges - Treasurer and Chief Financial Officer: I think that typically, the additional returns in percentage rents typically follow the hotel cycle within a calendar, which be the strongest quarters of the quarters, where we've earned the highest amount or the second and third quarters with lower amounts in the first and fourth.
Troy Garner - Morgan Keegan: Okay. And then on your Hyatt Place portfolio. Assuming that Hyatt was not recovering dollars that they had essentially funds that you during the renovation, what... I think you've got maybe 13 properties that are completed. What kind of coverage if you could comment will they be throwing off at this point?
Mark L. Kleifges - Treasurer and Chief Financial Officer: Well.
John G. Murray - President and Chief Executive Officer: Well the portfolio didn't cover for the year and or in the fourth quarter. The coverage is starting to improve, but we think it's probably going to be second quarter before that portfolio covers the rent.
Mark L. Kleifges - Treasurer and Chief Financial Officer: Yes. First quarter will be close to covering the cash flow... cover the minimum rent, but starting in the second quarter is probably a likely of that we'll see the portfolio covering.
Troy Garner - Morgan Keegan: And so by that point Hyatt will I guess recouped some other shortfalls that they covered during the renovation?
Mark L. Kleifges - Treasurer and Chief Financial Officer: No, no once the coverage gets above 10 which let's just say it will be in the second quarter of 2008. That access above are minimum return is when... is what when they will start to recover against the funds they advanced during the renovation.
Troy Garner - Morgan Keegan: So. You can correct me if I am wrong. I think your NOI, especially on the completed properties was up pretty substantially maybe 19%. I would have thought... I would have seen a bigger pop on your rent coverage in the quarter?
Mark L. Kleifges - Treasurer and Chief Financial Officer: We don't remember. We put substantial capital into those properties and as a result our minimum return went up. So, if you look at fourth quarter of 06 versus fourth quarter of 07 our minimum return was up about 22% year-over-year. So, the cash flow is up significantly. We are taking all of the growth in that cash flow though through additional minimum returns.
Troy Garner - Morgan Keegan: Okay, okay. That's helpful. That's it from me. Thank you very much.
John G. Murray - President and Chief Executive Officer: Okay.
Operator: We will take our next question from Jeff Donnelly with Wachovia.
Jeffrey Donnelly - Wachovia Capital Markets: Good afternoon, guys. John, I was just curious... I mean since you are fresh from the Als Convention Conference in late January. I was curious that you are hearing out there on I guess got deals out there in the pipeline, apologize if you touched on that earlier in the call, I got on just a little bit late?
John G. Murray - President and Chief Executive Officer: I didn't touch on it so it's fine. I mean we are seeing a fairly active pipeline. We've looked at a couple of transactions, but frankly we thought that we were getting a sort of a first look at or as... we were the only ones looking at it. We didn't like the pricing on a couple of the portfolios that we saw. Those portfolios have now started to comeback out with packages from brokers. So, sellers have tried, they go to some selected buyers and see if they get a deal done and when they haven't got in the price that they hope for turn the portfolios over to some of the larger brokers in the industry. So, we are seeing a good mix of business. We are seeing portfolios; we are seeing a lot of individual one-offs. But nothing that has been right for us either because of inability to change the brands to make fit within one of our portfolios or because we found the existing secured debt that was in place unacceptable. We... in our transactions we structure our contracts differently than a lot of other REITs. And just because you have more than one hotel doesn't make it a portfolio from our perspective. We look for the ability to pool FF&E, new reserve. We look for the ability to have all in renewals, we try and have single management contract as appose to say 10 or 15 or 20 individual management contracts, and so there is a lot of new answers that factor into our underwriting and what we've seen so far at the asking prices that we've seen hasn't, hasn't done the right fit.
Jeffrey Donnelly - Wachovia Capital Markets: And just I am curious what you take on, one aspect of pricing, I know this might not directly a part of you guys, but there have been some hotels that were fortunate enough to lock up secured financing in the first half of 2007, and some of those folks are...would argue. The private guys would argue this, still like those assets will trade, as if it is early 2007, because of that long-term in place financing. Is that something that you are seeing from transactions that are getting done or do you, maybe to the extend that you have encountered those, do you agree with that?
John G. Murray - President and Chief Executive Officer: There are some sellers out there, some owners who put debt in place that was assumable, and to the extent that they are trying to sell now. That's become a big marketing plus for the brokerage community to say, listen, you just have to come up with the equity piece. We've already got, a pretty significant amount of leverage that's assumable. The question is, is whether, how much. Well the question is whether you just pay the 1%, and you can really assume it or if you pay the 1%, but the bank still have the ability to decide they approve of the new borrower, and their credit worthiness. So we haven't seen any of those transactions actually close, since the credit market got dicey, so I can't give you a definite answer on whether that's helping or not, but we've heard the unusual description of some owners, debt as asset debt, and that's, we always get a chuckle a lot of that, but anyway we. I think it may help some deals get done,, but right now we haven't, we are just not seeing that many deals getting done, that weren't announced, or agreed to before the markets got choppy.
Jeffrey Donnelly - Wachovia Capital Markets: And how are you guys, I am curious thinking about pricing yourself, I mean to the extent you are out there trying to buy assets, and say there is that portfolio where it does have the traits that you like, and how do you think about the yields that you are looking for there, versus maybe what you got and, I can't remember what the yield was in the last deal aside from TA that you did. But, just given the credit markets have really kind of blown out, as Mark said earlier, I guess I would say, on some level your pricing should too as well and how are you thinking about that?
John G. Murray - President and Chief Executive Officer: Well clearly our cost of capital have widened as the economy has weakened and as the credit, and the capital markets have gotten dicey and, so we have been seeking higher returns, but we are also looking at it like, that this isn't going to be a long-term situation. We do believe that we will be able to access the unsecured credit markets at attractive pricing during 2008, and we do think that capital markets are going to get through the current disruption. It may take a couple of quarters, so right now, we are... as Mark said, we'll take care of the current mature... the maturity that's coming up in March of some senior notes using our revolver and, right now we are just... we are looking the transactions that where we would use out revolver and expect to write-out the temporary uncertainty.
Jeffrey Donnelly - Wachovia Capital Markets: And just one last question, I am curious. Have you guys ever given any consideration or do you still give consideration, do you, maybe doing deals in the hotel space in the future, kind of like you did with TA where rather than having a fair lease back with an established brand like Marriott, or Hyatt, or InterCon that you instead sort of capitalized, for the Finley capitalized company that's independent of HPT. Is this when you fall over?
John G. Murray - President and Chief Executive Officer: We think about a lot of different opportunities and clearly as many of our existing relationships have gone asset light. We've had to think about, what you just described, more so than we have had to earlier in the life of HPT, but right now we don't have plans underway that set up a captive manager, or to align with one in particular to, that's our third party manager, but that someday we may do that, because Marriott doesn't own many, many hotels that they could do, sell managed backs or sell lease backs. IHG doesn't, Hyatt has some, but overtime I think that they may go in asset... well they are calling it asset right, but they'll go more asset light than they are today, so at some point in the future, we may need to align ourselves a little bit differently in that regard.
Jeffrey Donnelly - Wachovia Capital Markets: Okay. Thanks, guys.
Operator: And it appears we have no further questions at this time. I'd like to turn the call back over to Mr. John Murray for any additional or closing remarks.
John G. Murray - President and Chief Executive Officer: Thank you very much for joining us today. We look forward to speaking with you again in May with first quarter call. Thanks.
Operator: Once again that does conclude today's call. We do appreciate your participation. You may disconnect at this time.